Operator: Good day and welcome to the EFSC Earnings Conference Call. Today's conference is being recorded.At this time, I would like to turn the conference over to President and CEO, Jim Lally. Please go ahead, sir.
Jim Lally: Thanks, Cory, and thank you all very much for joining us and welcome to our second quarter 2019 earnings call. Joining me this afternoon is Scott Goodman, President of Enterprise Bank & Trust; and Keene Turner, EFSC's Chief Financial Officer and Chief Operating Officer.Before we begin, I would like to remind everybody on the call that a copy of the release and accompanying presentation can be found on our website. The presentation and earnings release were furnished on SEC Form 8-K yesterday. Please refer to slide two of the presentation titled Forward-Looking Statements and our most recent 10-K and 10-Q for reasons why actual results may vary from any forward-looking statements that we make today.Overall, I'm very pleased with our results for the third quarter. Scott and Keene will discuss the specifics of our results. But overall the quarter showed the strength of our company as we displayed our ability to organically grow the core business, further integrate Trinity into our culture, improve an already solid credit profile, efficiently operate the business and truly managing growing capital base.For the quarter, EFSC earned $1.08 per share on a fully diluted basis. This was a record for our company. Year-to-date, we've earned $2.45 inclusive of $0.54 per share of expenses related to Trinity. ROI for the quarter and year-to-date was 1.60% and 1.26% respectively.I would now like to turn your attention to our financial scorecard that can be found on Slide 3. When comparing our third quarter performance in 2019 to how it performed in 2018, many things stand out. First of all, we were able to increase our earnings per share by 11% and drove net interest growth in dollars by 31% when compared to a year ago. Certainly, the successful integration of Trinity had a positive impact on our ability to continue to grow our loan portfolio to quality relationships played a significant part in this success.Secondly, we defended margin well. You're all very familiar with what is this current interest rate environment has done to the earnings of many financial institutions. So the CR, net interest margin only decreased by five basis points over the last 12 months speaks to the quality of our franchise, and the great relationships of which it is comprised.Our credit specifics remain solid. Our non-performing loans total loans decreased by 10 basis points compared to last year. Keene will speak to the specifics, but by all measures our credit quality compares very well to our peers. The bottom line is that we're not willing to sacrifice quality for growth.I do find it somewhat ironic that we improved our core operating leverage by 1% when compared to a year ago. At enterprise, we preached to our associates that where they should try to improve what they do every day by 1%, this mindset has become a way of life for us.Finally, the ability to add to an already strong deposit base is an everyday focus for our company. Certainly, integrating Trinity into our company played a significant part in the 34% increase, but this is aided by the 5% annual increase that we experienced in our organic deposit base. Scott will provide some important details around this growth.Slide 4 shows where we remain focused. As it relates to the ongoing integration of Trinity, I can only tell you that I'm extremely pleased with how these two companies have come together. We're four months post-system conversions and our teams in New Mexico have done an amazing job, getting themselves and our client base well acclimated to the enterprise way.We will now begin to focus on the opportunities that we have to grow these markets. As it relates to other markets and specialty businesses, I can assure you that the leaders of these businesses are keenly focused on running through the take and achieving organic loan and the positive goals for 2019. Scott will give you details, but you can see from our numbers how well these businesses continue to perform.I mentioned earlier in my comments our focus on continuous improvement. This is a way of life for our teams and continued improvement in our sales and operational processes is what is expected.For details on our lines of businesses and our reasons, I would not like to turn the call over to Scott Goodman.
Scott Goodman: Thank you, Jim, and good afternoon everyone. As you'll see on Slide number 5, following on a strong second quarter, we continue to generate solid loan activity in Q3 with growth of 79 million. Year-over-year the loan portfolio is up 23% inclusive of the Trinity acquisition. Organic growth as of Q3 was solid for the same period at 7%.T&I increases outlined on Slide number 6 represent nearly half of total growth in the quarter at double digit pace net from the Trinity portfolio impact. As we continue our plans to integrate the Trinity client base, I'm pleased with the overall stability of the book. The minor loan run off roughly $20 million is mainly related to successful workout of some PCI loans and residential mortgage payoffs, which are shifting from a legacy portfolio approach at Trinity to our preferred secondary market strategy.In general, originations volume increased in the quarter and our sales activity across the markets and within the specialized unit is producing consistent new opportunities. I remain confident that our diversified origination strategy will continue to produce loan growth in a range of 6% to 8%.The business segment changes are outlined on Slide number 7 and titled loan details. Growth in general C&I, investor owned CRE and construction reflects my prior comments on solid origination activity within the geographic markets and I'll touch on this in more detail later.Within the enterprise value lending or EVL portfolio, performance reflects both environmental challenges and internal discipline on credit structures in this space. As we've experienced for the past few quarters, payoffs and pay downs are elevated, as our private equity partners take advantage of robust capital markets and high valuations to opportunistically exit portfolio investments.Additionally, competition including non-bank sources are in some cases pushing credit parameters beyond our risk appetite. I discussed this a bit last quarter, but it's mainly around total leverage and extended amortization of unsecured exposures. That said, we do continue to see studies year flow from our partner relationships and origination activities was up quarter over quarter.I expect new deal opportunities to continue with some seasonal up selling in Q4. We also continue to expand our base of relationships and we will selectively add sponsors to extend our brand and further increase effort. Life insurance premium finance has experienced strong growth over the past 12 months.Q3 reflects typical volumes on originations and advances for premiums on existing policies finance. The couple of larger payoffs muted quarterly growth, as we walked away from price driven competition which was well below our threshold. But despite these specific deals, there has been a general moderation of the payoff activity and the outlook is for typical seasonal increases headed into Q4.The reductions in the residential real estate portfolio of $23 million in the quarter reflect my prior comments regarding the Trinity book and are also impacted by some increase mortgage activity in general with the following rate environment.Within our business units on Slide 8, specialized lending mainly reflects the impact of changes in EVL with some modest growth in aircraft finance and agricultural portfolios. Regionally St. Louis posted solid growth of $81 million in Q3 driven by strong uptake in origination.The highlight in the quarter was providing the senior debt on the purchase of a high-profile commercial real estate portfolio in Western St. Louis County was one of the premier investor groups in the Metro area.C&I activity also included equipment financing for transportation company and acquisition and recapitalization for financial services company. Arizona also had a particular thought quarter up $31 million and growing roughly 12% year-over-year.Growth is coming from a number of sources including funding on construction loans originated over the course of the year as well as new loans for investor real estate clients in hospitality and mixed-use categories. We also continue to see more C&I opportunities including new loans with companies in the electric contracting, medical services and storage industries.I’m encouraged by the momentum we are seeing in this market driven by our robust economy as well as our ability to attract new talent from competitive disruption. Phoenix is frequently cited among the best economies in the nation leading most cities in GDP performance, job creation and population growth.And while this is attracting the attention of new bank entrance to the market, our experience local bankers and our long-term presence here is resonating with the business community to produce an expanding pipeline of new opportunities. From an overall perspective early in Q4 the near-term loan pipeline looks solid, with a mix of new C&I relationships, ERA across all geographies and seasonal upticks in specialized lending.Turning now to deposits on Slide number 9. Balances were up by 65 million in the quarter and show solid growth of 8% year-over-year excluding the impact of Trinity. Growth is being driven by new commercial and business banking deposits through an execution of a consistent of process which incentivizes new relationships and client consolidation of balances to enterprise. This is also positively impacting the mix as DDA rose 23% of total balances.Growth in Q3 was also encouraging particularly, considering we saw some of the larger, more concentrated and higher cost commercial balances which had provided growth to us in prior quarters moved down this quarter. We also continue to see the positive behavior pushing move to move idle balances to higher yielding alternatives. Our sales teams have been able to execute well to retain relationships while allowing the higher rate transactional deposit balances to move.Overall, the strategy is producing good results. During Q3, we're consolidating and originating more new balances at better terms than what it would have taken to retain what is leaving. We also continue to originate net new deposits with new balances totaling nearly three times that have closed accounts.Within New Jersey then New Mexico as expected for local banks and credit unions are aggressively courting our bankers and our clients, we have been executing a strategy a strategy to introduce our brands by highlighting the retention of local talents, defending their relationships with friends wired as well as continuing and increasing your community support and partnerships for which Trinity was known.So far, we've been successful in minimizing runoff as well as turnovers and feel good about our ability to retain the low cost, well diversified nature of this book.Now, I'd like to hand it to Keene Turner for review of our financial results.
Keene Turner: Thank Scott and good afternoon everyone. The third quarter results were strong and demonstrated our stable balance sheet and continued execution on all fronts. Revenue was a highlight of the third quarter at $76.6 million and it was a 4% increase from the linked quarter that was driven from both net interest income and fee growth.We reported $29.1 million of net income or $1.08 per diluted share for the third quarter and that produced a return on assets of 1.60% and a return on tangible common equity of 19%. Our earnings continued to build our capital position, increasing the tangible common equity ratio to 8.5% percent.The strength of these returns allowed us to return excess capital through repurchase of approximately 300,000 shares and average price of $39.03 during third quarter. We believe that this activity is an important way we can continue to return value to our shareholders in addition to driving earnings and continued dividend increases.I'll begin on Slide 10 where we roll for EPS in the second quarter. Obviously, the largest linked quarter driver in the -- from the second quarter to third quarter is $0.30 of merger related charges that improved the EPS.Generally, we feel like the Trinity expenses are mostly behind us, I mean, incurred about $400,000 in the third quarter. We had a good quarter of non-interest income primarily tax credit income. We also realized some security gains and the proceeds of when were reinvested in the new securities with higher yields. We also had additional income from loan workout activities that benefited the quarter, and we had a 5% improvement from the linked second quarter.Other items, non-interest expense, incremental accretion and the change in our shares and tax rate combined to increase EPS by $0.05 per share. The increase in incremental accretion was from the successful resolution on several non-core acquired loans.We'll move on to net interest income on Slide 11. The current interest rate environment impacted our core net interest margin in the quarter. Nonetheless, our efforts to grow the balance sheet contributed to modest growth in core net interest income compared to the second quarter.To that end, we were able to grow both loans and deposits in the quarter and bolstered investment portfolio. This did require the use of some funding from the FHLB and other wholesale sources, and some of these actions negatively impacted the linked quarter trends in the core net interest margin which declined to 3.69%.However, given the 70 basis points plus decline in one month LIBOR, which weighed heavily on our asset yields. We were able to mitigate much of the trends were assertive, not aggressive, deposit repricing, balance sheet growth, and most importantly growth of new and existing customer relationships.It's worth noting the overall cost of deposits was stable at 94 basis points for both the third and second quarters. And we were able to begin decreasing pricing within the managed and index money market account.There continues to be some opportunity there as clearly there is some lag in deposit pricing. And thus we have not yet seen the full benefit of actions taken in the quarter to reduce our deposit costs. And we're careful to protect and manage relationships along the way, the primary goal being fair to both customers and shareholders.Generally, we believe that we're well positioned as we begin the fourth quarter and look forward to the upcoming year. Our liquidity is strong and we work to continue to further improve all of our liquidity measures. We believe this helps us, position us to deliver consistent, strong financial performance as we navigate through the current environment.Our expectation is to generally defend core net interest margin from here and to the extent the current interest rate environment behaves as we plan. That is not to say that we don't have any major rapid shifts that we have the last several quarters. I'll just reiterate that our expectation and our goal continue to be to grow core net interest income and defend net interest margin as we did during the third quarter.Turning to Slide 12 on our credit trends, loan growth of $80 million and 8 basis points in net charge offs resulted in a $1.8 million provision for loan losses. Our non-performing loan levels improved during the quarter as the two loans that we previously noted were administratively past due were positively resolved. Credit metrics remained strong and continue to compare favorably to all of our peers.On Slide 13, non-interest income increased $1.6 million in the quarter, principally due to an increase in tax credit income and other income from loan workouts. We're on target and continue to expect high-single-digit growth in 2019 fee income before Trinity, due primarily to opportunity and tax credit and card services.Operating expenses on Slide 14 were $38.2 million and reflect our execution on the integration of Trinity. At this point, most of the cost savings and the transaction have been realized. We incurred under $0.5 million in merger expenses in the quarter compared to $10.3 million in the second quarter. A similarly modest amount of merger charges could be incurred in the fourth quarter but our efforts to the integration are largely behind us.The core efficiency ratio was 51.7%, down nearly 2% in the linked quarter and 50 basis points from the prior year. Operating expenses were in line with our forecast between $37 million and $39 million for the second half of the year and we continue to forecast this level for the fourth quarter.To wrap up on Slide 15 through a measured combination of organic loan and deposit growth as well as M&A, we've consistently grown the balance sheet and improved the overall quality and risk profile of the Company. We're well positioned with a strong liquidity and stable credit quality. We expect to continue to utilize operating leverage to drive stable returns and consistent earnings.We continue to plan and execute in multiple facets of the business where we've been successful in growing our earnings power. We are pleased with the current performance, and we have high expectations of ourselves and our teams for the future. We appreciate your continued support and for your time.And we will now open the line for questions.
Operator: Thank you. [Operator Instructions] We'll take our first question from Jeffrey Rulis with D.A. Davidson.
Jeffrey Rulis: I wanted to follow up on Scott's comments regarding the kind of the competition in your markets makes sense that New Mexico is a bit unique and given the transaction. But I was wondering if kind of broad based the rest of the footprint, are there areas in particular, heavier competition, both loans and deposits, and maybe some areas where they maybe seem more rational? Thanks.
Scott Goodman: Thanks, this is Scott. Yes, I think generally we're seeing maybe take loans first on the loan side and some of the other markets, generally local banks continue to extend, term offering was in a 7 to 10 year range on balance sheet. I think we've been seeing that for a while, maybe 6 to 7. I think we tend to see them pricing on a coupon basis, in many cases sub 4%. So I think that's kind of a factor we're continuing to see.We continue to stay disciplined. In some cases, if we're going to extend terms, we're using a swap or floating rate, but that tends to be on the loan side. What we're seeing a lot of I think credit structures may be seeing a little bit more limited and non recourse. And we've seen that on the CRE side for a while, but it's kind of emerging in the lower end of the C&I markets, again, usually from a local or a smaller bank.And then on the deposit side, I think what we tend to see is more rational pricing from the regional than national. The locals in many times are trying to index the Fed funds or above Fed funds. And I think some of the balances that I alluded to that we're letting walk away their transactional, that's kind of where we're going, they're going and that's fine. That's probably what we're seeing that I would call a little bit crazy on the deposit side.I think the other factor, I would just add, we're seeing a lot more non bank competition, credit unions on the commercial side, particularly on the C&I business. And then for idle cash balances, I think we're obviously we're competing against what we're seeing from the Schwabs and Fidelities that are going after that idle cash. Our posture is we want to retain relationships and in many cases do what we need to there, but if we want, to let idle cash go that's kind of where it's going.
Jeffrey Rulis: Thanks, Scott. And switching gears on just capital. I guess anyone could address this, but the buyback appetite, your average price of the buyback this last quarter is about, well, you're about 10% above that or more today. I guess do you touch on anything M&A and/or buybacks just the current update on capital use?
Keene Turner: Yes. Jeff, I don't -- this is Keene. I don't think our priorities have changed. I think, one, if we can achieve organic growth, that's first and foremost. I think we're earning at a high level with strong balance sheet returns, so M&A is obviously a priority. If we can continue to leverage our talent there for integrations and bringing companies together. I think, that will be second. And then obviously, we've just continued to maintain a dividend as part of growing the earnings power.Certainly, the share repurchases is a stop gap. I mean, in the third quarter, I think it, there was nice to take advantage of some of the volatility there and maybe a little bit of what was weakness in the shares, but to the extent that we continue to have strong stock price performance, I think we adhere to the capital management activity and not necessarily something that is market driven.And as long as we feel like we're not paying too much for the shares, we will continue to manage improving the capital levels that we move between 8.5% and 9%. As we really don't want to get too out of line, I think, we view and respect the capital that our shareholders have given that we currently don’t want to have sit on too much excess capital for too long. So, we get a little bit more aggressive and have a stronger appetite between here at 9%.
Jeffrey Rulis: Keene, were you going to operate CECL guidance to coming quarters?
Keene Turner: We expect, we're not going to leave that effort out in terms of the peer group, but we're going to put CECL guidance out in conjunction with our fourth quarter. So, I guess I can tell you that, you we're well down the path and working on final validations in various scenarios planning for our models. And certainly from a directional impact I would say two things, one, the PCI portfolio and the credit discount there is obviously going to add to the output allowance, and you will be able to get that specific number when we file the third quarter queue.And then, I would also just say maybe on the about full size of that, when we're seeing maybe some of the larger institutions report where they think their increases are going to be. The loan portfolio is short here in duration compared to what most others look like, particularly given the C&I nature of what we booked in most recent years. And so, I think that all mitigate the increase, but I think our general posture is prudent and on the conservative side of prudent as we look toward allowance and provisioning.
Operator: Thank you. We will take our next question from Andrew Liesch with Sandler O'Neill.
Andrew Liesch: Just wanted to touch on margin here briefly. On a core basis, 10 to 11 basis points, but didn’t look like you had too many opportunities there you are as aggressive lowering deposit cost as maybe you said suggested a quarter ago, but yet LIBOR continues to come in and more prospects for rate cuts. I mean, how should we look at this going forward here? Maybe if you are able to lower the after deposit rates this quarter and lower the rate from the exception account that could be a benefit, but still having earning asset yields commence, maybe not as much a compression as last quarter recognizing you do, you are trying to just on the core margin?
Keene Turner: Yes, Andrew, I think what we said last quarter has really come to fruition, which is I think we gave a longer term view of what we thought the overall change was. It certainly I think the environment maybe got a little bit more dramatic than we were expecting. At that point I think, it seems like as we sit here today, there is a little bit more clarity on what is the most likely outcome here. So I think we feel little bit better about our forecast than we did last quarter.Let me just say very quickly that, you know, we were at 380 last quarter and that included two basis points of purchase accounting that was non repeatable. So, we are down nine from there and we let the investment portfolio grow a little bit, and we knew that the deposit repricing would lag. So, we haven't taken our eye off the ball on the deposit repricing, particularly. The managed money that we were talking about and the index stuff was obviously moving. It's just that you have LIBOR fall 70 bps from the start of the year, and you've had fed funds down 50 and hopefully another 25.So I think this is a timing issue, I think we generally feel pretty good about where margin is today within a few basis points. And we're optimistic that we can generally hold stable and use that as a basis for growing core net interest income from Q3 to Q4 and thereafter. So, that's our hope and we're trying to do the things that retain customers and balances over the longer term and don't just simply become margin focused and sort of shrinking net interest income, but for the sake of having margin optically look better.So, I would also just point out and I'll wrap this up that we were not aggressive with CD repricing whatsoever. I think you can see the balances might have even been slightly up in the quarter, and certainly a ray on that was a little bit higher with the vintage of what was coming off and coming on. So, we really wanted to that's a lever that that we could pull there.But again, I don't know that there's any great urgency there as long as we continue to get good balance sheet growth. And I think really the driver for the most near-term quarter will be what happens with DDA growth and commercial accounts, and we typically expect there to be some strong seasonal trends there that really should help us on the next time.
Andrew Liesch: Got you, okay, that's really helpful. And then just a follow-up, I think that from earlier on M&A stock at 190 to intangible and you guys have better currencies than some other folks out there right now. Recognize that Trinity still kind of freshly, what's your appetite for acquisitions right now? And I mean, how are conversations with prospective targets going?
Jim Lally: Andrew, this is Jim. That process is always ongoing. So, it doesn't necessarily speed up in one season or another. So, we've had active discussions with several companies, nothing that is, obviously too far along to report on, but it's about making the franchise better. You've seen the last two opportunities and what the makeup those companies are, and that's what we're focused is really improving the deposit base of our company like we had the last two times.
Operator: Our next question comes from Nathan Race with Piper Jaffray.
Nathan Race: Going back to the discussion on the NIM for the fourth quarter, can you just -- curious to get some update of that and how you kind of see the core loan yields trajectory in the fourth quarter, down 11 bps or so here in the third quarter? And you got the weighted average rate on new loan production in the quarter at 466 with would imply some further pressure, particularly on the heels of the September rate cuts. But I imagine that 466 is partially a function of the composition of production this quarter. So just curious to get your thoughts on just kind of core loan yields in the fourth quarter?
Jim Lally: Yes, I guess, Nate, maybe first and foremost, I think we felt like we saw the LIBOR rates move down, when the third quarter rate cut became pretty apparent. So, I think our view, our optimism is that that won't be an underlying issue for LIBOR based on, but that is and what I'm about to say we'll get a little bit more severe and we'll have to defend it more aggressively. But I would say secondly, the 466, I think was, I don't want to call it a low point, but I think it's some of that just reflect, when we look at the categories of those loans were and the types of borrowers that we banked, maybe a little bit of a lull from where we'd expect to see it.So when you start to segment that by, what's your variable C&I, those rates are a little bit better. And then when you look at some of the more fixed rate CRE. Those are fairly short term, but those are those are driving that rate down a little bit. So, our expectation would be that maybe that doesn't get more severe, but as we see activity in certain pieces of the business contribute more like they have in the past so that could help aid that yield as we've seen previously.So, I think our expectation is that it's maybe not quite as aggressive, or repricing or a downward pressure from Q3 to Q4, in that we can get a little bit more movement both in the mix and overall rate on deposits at the same time and again, and that's not to tout the wholesale positions but wholesale funding has helped us and will have some broker CDs and other items that are maturing in the fourth quarter that'll also help provide a little bit of runway on the funding side.
Nathan Race: And can you just remind us along those lines, I think it was like a $1.4 billion in deposits you have either kind of hard or soft index that's ruining the curve, is that accurate still?
Jim Lally: Yes, that's that number hasn't changed. So yes, it's 800 and 600 or vice versa index and an exception manage.
Nathan Race: Great and then just changing gears a little bit and thinking about loan growth. Maybe for Scott, I think you mentioned you had some intentional one off in New Mexico it had some purchase credit impaired loans maybe. And I think we're all just trying to mix that portfolio away from some single family residential loan. So just curious, if there's anything left to do on that front, and you know, when you're when you maybe expect to see some growth of that franchise because it seems like you guys have been doing some hiring down there of late.
Jim Lally: Yes. Nate, I think it's relative to more run off. A majority of that $20 million difference was on the PCI side. I think the mortgage impact was fairly small. I wouldn't, I wouldn't expect that to be a significant headwind. It's not something that we looked at a fair opportunity at the beginning we expected that we would grow. I think the opportunities for us exist in widening the relationships with existing clients who will bring a bigger check book to the table with more capabilities.And I think Albuquerque presents just given the metro market which we're familiar with bringing some of our strategies that have worked in the other metros like Business Banking, and C&I to the table. So that's really where the plan exists. I think if you look at the pipeline, it continues to rise. So our opportunities are good near term with those existing clients. And I think our team out there is well positioned to execute a growth strategy in Albuquerque it will come over time.
Operator: Our next question comes from Brian Martin with Janney Montgomery.
Brian Martin: Good. Hey, Jim, just a one question on M&A, maybe you said it, if I missed it. But just have you seen any pickups in discussions? And I guess we've heard some other banks that there's been more discussions that they've noted a pickup. Have you guys seen any of that? I know you're looking at the strategy, but have you seen a pick up?
Jim Lally: The answer is we have a very consistent pipeline. So I don't know from what level these other companies started, but I would say ours has been this consistent over the last several years. As it relates to pick up I think, banks in general, who are looking to partner, may feel some sense of urgency relative to some of the headwinds that all companies are going through, so maybe that's maybe what you're seeing out there.
Brian Martin: And then maybe one just back to the margin, Keene just kind of, I appreciate your comments on the margin. Just your outlook, I mean, does kind of your commentary change at all, if you think about in the context that maybe having three rate increases here over the next couple of months? I mean, if you give an October, December and January cut. So it's kind of how you think about the margin under that type of scenario versus kind of what you kind of already outlined?
Keene Turner: Yes, I think we've done a number of things to attempt to stabilize the base earnings power, given a variety of scenarios. And I guess I would say, we've certainly, I think, we believe that we've worked through, call it the majority of that near-term. And if we continue to get lagging, we're going to start to be able to at least hold margin where we are because if you get another rate cut or the idea of the rate cut as a matter of fact LIBOR, we will have the significant rate cuts to help improve the deposit side.And I think as I indicated in my comments, we haven't -- we haven't been aggressive, we've been fair to clients and fair to shareholders along the way. And we're hoping that that pays dividends, not just in the next two to three quarters, but over a much longer term horizon where, we might get back to a scenario where we've got, a high 90s or low 100% loan to deposit ratio. So, we're trying to be very, very thoughtful about what we do with clients and where they come from, how long they've been with us and how long they maybe have had or have not had a rate increase.And I think you've seen us do some more things on the fee income side to try to help mitigate that and drive revenue growth, so I think you saw a good quarter on the tax credit side. I think we expect more of the same on the fees for sort of low, or mid, mid to high single-digits when you blend it all in with a full year of Trinity and continued progress on the tax credit front. So I think we're looking at that overall and saying how do we drive respectable revenue growth, knowing that the interest rate environments difficult, and then just really be thoughtful about how we deploy expenses to make sure we're driving the kind of EPS and returns that we want.So, I mean, that's the formula. It's all very fluid. We're trying to do the best we can with the current environment. But we're also, just like, I would say, on efficiency ratio, we're not targeting an efficiency ratio. It's a byproduct of how we manage the business. I would say net interest margin is the same and we're just trying to be really deliberate about the actions we take both and how that feels from an associated experience from a client experience. And hopefully leverage challenging times into more prosperity and growth for enterprise.
Brian Martin: That's helpful, thanks. And just remind me the amount of floors you guys have in the portfolio today and kind of how many are at the floor?
Keene Turner: Let me dig that. I have that here. I just have to find the page. We don't have a lot that's currently on the floor and I think we're seeing good progress, getting things on the floor. So, we've got about 800 million in the portfolio on that has a floor and you've got about 25% of not on the floor. So, there's a little bit of protections built into your point, if you get some more rate cuts, particularly once you start to get few more rate cuts call it, that starts to really kick in.
Brian Martin: Okay, all right. And the last two for me, was just the incremental accretion this quarter that pick up. Keene, I guess, should we start to say, we should see a downtick there just kind of how to think about that level going forward?
Keene Turner: Yes, I think the way we think about it is. We've got, whatever you're thinking about for core net interest income and then you got another penny or two per quarter of incremental accretion that we're thinking from the non-core acquired book.
Brian Martin: Okay, all right. And the last one just on the, kind of how to think about the core efficiency as we go forward, I mean, I guess if you're under the environment we're in with rates possibly going lower and impacting revenues. Just as you guys think about, how do you think about driving the core efficiency ratio lower next year? Do you think that's doable with kind of the road map you've outline just the organic growth depending the margin where we can see the core efficiency improve a bit next year? Is it more likely to be kind of flattish or up a little bit?
Keene Turner: Yes, I would say Brian, I think the efficiency ratio we expect to improve seasonally for the fourth quarter and then we always get a little bit of a reset from Q4 to Q1 with the way tax credit revenues work in that time period as well as the seasonality of expenses. But I think the level that we're operating after in the low 50s, feels like a level that we can achieve, and I think that our idea would be that if we can continue to execute on gaining new customer relationship and driving fees, we want to make sure that we're taking that and deploying that back in the business.And so, maybe historically when you had some margin expansion, that incremental efficiency has been more like a 30% to 40%. If we think of it very simply as 50% marginal efficiency, I think that reflects maybe some expectation of having rates being more of a headwind than a help or neutral, but also our ability to just manage expenses appropriately and we're not going to not hire somebody who's good in market just to manage efficiency ratio if it’s the right thing to do long-term because that also gets to be a vicious cycle too.So, I think that’s generally what we're thinking, but if you start growing revenue quarterly and you have a marginal 50% efficiency ratio, you will make a little bit of gains there, but you're not going to be knocking it down 1% or 2% in the quarter.
Operator: [Operator instructions] There are currently no questioners in the queue, sir.
Jim Lally: Well, again, thank you Cory and thank you all for joining us. Thank you for your support of our company and we look forward to speaking to you all next quarter, if not sooner. Have a great day.
Operator: Thank you, ladies and gentlemen. This concludes today's teleconference. You may now disconnect.